Operator: Good day, ladies and gentlemen, and welcome to the Extreme Networks Q3 2012 Financial Results. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce your host for today's conference, Mr. Jim Judson, CFO. Please go ahead.
James T. Judson: Thank you, Patrick. Welcome to the Extreme Networks 2012 Third Quarter Conference Call. [Operator Instructions] On the call today from Extreme Networks are Oscar Rodriguez, President and CEO; and myself, Jim Judson, the interim CFO. As a reminder, this conference is being recorded today, May 2, 2012. This afternoon, Extreme Networks issued a press release announcing the company's financial results for the third quarter of fiscal 2012. A copy of this release and the slide presentation of the supporting financial materials are available in the Investor Relations section of the company's website at www.extremenetworks.com. This call is being broadcast live over the Internet and will be posted on the Extreme Networks' website for replay shortly after the conclusion of the call. Extreme Networks wants to remind you that this conference call contains forward-looking statements that involve risks and uncertainties, including statements regarding the company's expectations regarding its financial performance, strategies, growth of customer demand, development of new products, customer acceptance of the company's products, customer buying patterns and spending patterns and overall trends and economic conditions in the company's markets. Actual results could differ materially from these projected in the forward-looking statements as a result of certain risk factors including, but not limited to, a challenging macro economic environment worldwide; fluctuations in demand for the company's products and services; a highly competitive business environment for network switching equipment; the company's effectiveness in controlling expenses, including the company's cost restructuring efforts; the possibility that the company might experience delays in the development of new technologies and products; customer response to its new technology and products; the timing of any recovery in the global economy; risks related to pending or future litigation; and the dependency on third parties for certain components and for the manufacturing of the company's products. The company undertakes no obligation to update this information on the conference call. More information about potential factors that affect our business and financial results is included in the company's filings with the Securities and Exchange Commission. Throughout the conference call, the company will reference both GAAP and non-GAAP financial results. All of my comments will be non-GAAP, except for revenue and the number of common shares. Non-GAAP results exclude stock-based compensation, restructuring charges and litigation settlements. There is a reconciliation table of GAAP to non-GAAP financial results in the slide presentation under the Investor Relations tab on our website at www.extremenetworks.com and accompanying our press release. After I review our Q3 financial results, I will turn the call over to Oscar for some comments on the momentum we're experiencing with our products and some key hires we've recently announced. We'll then open up the call for Q&A. Q3 fiscal 2012 revenue was $73.4 million, which was down $2.3 million or 3% from Q3 FY '11 and was down from Q2 FY '12 of $9.4 million or 11%, which is in line with normal seasonality. While we believe we have a stable pipeline of business in most countries, revenue was lower due to longer deal cycles, sales execution issues and purchasing delays in some regions. The Americas revenue was $29.7 million and grew 1% from Q3 FY '11. On a quarter-over-quarter basis, the Americas was down 19% sequentially. The Americas continues to be our strongest performing region this fiscal year despite delays in some North America opportunities, which did not close in time to convert to revenue during the third quarter. EMEA revenue was $31.5 million, which grew 7% over Q3 FY '11. On a quarter-over-quarter basis, EMEA was down by 3%. In the year ago quarter, we began to see the initial signs of economic weakness in the region that have negatively impacted our performance this fiscal year. Asia Pacific revenue was $12.1 million and was down 28% compared to the year ago quarter. Asia Pac revenue was down sequentially from Q2 FY '12 by 11%. APAC continues to perform below our expectations. However, as Oscar will discuss, we're implementing leadership changes to help refocus the region. We experienced a modest improvement in gross margin percent during Q3, improving to 56.4% from 56.1% in our Q2 '12. Our service margins continued to show improvement, benefiting from our lowered overhead structure and reduced expenses associated with hardware maintenance. Product gross margin percent dropped slightly due to less favorable absorption of overhead expenses on the lower volumes, but margins -- but product margins continued to show underlying improvement from an improved mix of new products and supply chain cost reductions. Operating expense in Q3 decreased $3.4 million from Q2 FY '12 to $37.3 million. The 2 main areas that contributed to this decline in expenses were lower sales expenses, primarily due to lower commissions expense associated with the lower product revenues; and lower R&D program expense as 3 new platforms, the BD8X (sic) [BDX8] and E4G and the Summit 440s, became generally available for sale. Legal and litigation expenses remained higher than normal through Q3 and we expect them to return to more normal levels in Q4. Third quarter operating income was $4.1 million or 5.6% of net revenue. This was down sequentially from $5.8 million or 7% in Q2 FY '12 but on substantially less revenue. This demonstrates the leverage we have created in the P&L through our cost reduction efforts and the variable component of expenses that scale with revenue. GAAP EPS for Q3 FY '12 was $0.03 per share versus GAAP EPS of negative $0.07 a share in the year ago quarter, which included a charge of $5.4 million related to inventory writeoff. Non-GAAP EPS for Q3 FY '12 was $0.04 a share versus non-GAAP EPS of negative $0.05 a share in Q3 FY '11. Due to our improvements in operational efficiency and cost reductions, we have now achieved 4 consecutive quarters of positive non-GAAP earnings per share. Turning to the balance sheet. Total cash and investments for the quarter was up $800,000 to $147.2 million. Accounts receivable increased $6.7 million in Q3 primarily due to shipments being more back-end loaded this past quarter than normal. This led to a DSO increase from 43 days in Q2 to 57 days in Q3. Despite the increase in DSO, 89.5% of outstanding AR was current as of the end of Q3. Also as a result of the lower revenue, inventory increased by $1.9 million to $23.3 million as we procured inventory to support anticipated orders that did not close or could not be shipped in the quarter. At this point, I'll turn the call over to Oscar for his comments on recent customer wins with our new products and other market highlights. Oscar?
Juan Oscar Rodriguez: Thank you, Jim, and I want to thank all of our investors for joining this call. As we've discussed in past investors' calls, we have been in the process of transforming Extreme to take a leading position among pure play networking vendors. We are focused on structuring our business with a goal of consistently achieving double-digit operating income without the need for significant revenue growth. With our cost restructuring activities now behind us, we are driving the customer and market awareness needed to position Extreme as a leading competitor in specific target vertical markets. We have delivered a new portfolio of award-winning products that we believe are the best of breed for the markets they serve and are targeted at some of the highest growth multibillion-dollar market verticals in the communications market. We expect the combined effects of our award-winning products, the increased market awareness and our reduced cost structure will enable Extreme to drive growth in both revenue and market share. Now, we are focused on driving the sales execution needed to enable us to deliver revenue growth. We expect the revenue growth to provide increasing leverage to the bottom line and increasing free cash flow into FY '13. Over the past 2 quarters, I've described the ongoing development and customer beta testing of 3 product lines that are critical to our company's future success. These include the BlackDiamond X8 open fabric switch, the E4G Cell Site Router family and the Summit X440 intelligent edge product line. I'm pleased to announce that these 3 product families, all based on the latest version of our Extreme XOS operating system release 15.1 have successfully shipped to our first customers and the initial feedback is very encouraging. We have recently received significant publicity regarding the BlackDiamond X8 product and we expect it to play a key role in positioning us for larger data center and cloud opportunities and to enable larger average deal sizes. We successfully released the BDX8 at the end of February and have already won initial solid customer deployments. In North America, Craig Computer purchased the BDX8 in support of their supercomputer deployments for the Blue Waters NCSA petascale computing facility. The London Internet Exchange, one of the top 5 Internet exchange points in the world, is deploying these switches in support of Internet traffic growth due in part to the added volume expected from the coming Summer Olympics in the U.K. The BDX8 was also selected for deployment on one of the largest Internet exchanges in Central and Eastern Europe, at a major genetic research facility in the U.K. and at T-Systems Multimedia, which is a division of Deutsche Telekom for their MMS core. In China, we also saw our first deployments at both PetroChina's Geo Exploration and Development Research Institute and at SINOPEC's cloud computing center. These key deployments leverage the high-performance, high-density and low-latency capabilities of the BDX8 and we believe position Extreme for further deployments in public and private cloud Internet exchange and high-performance computing customers. In Q3, we were honored to receive yet another industry award when the BDX8 was named Network Computing's Data Center Product of the Year for 2012. Both the BDX and the Summit X670 products are award-winning products and are the basis for our deployments of our open fabric architecture. We believe this architecture and the associated open fabric products are key to scaling -- selling next-generation data centers and are the foundation for our software-defined networking initiatives. In addition to deployments for the BDX8, we continue to drive additional open fabric architecture deployments with our cloud-scale top of rack switch products. In Q3, we saw higher demand for our X670 switch sales and we are pleased with these expanded customer deployments and the positive data center sales momentum. As of Q3, we shipped our 10-gig and 40-gig optimized open fabric architecture products to over 300 customers. During the quarter, we grew 10-gig shipments -- port shipments by 67%, 40-gig port shipments by 66% over Q2 FY '12. Customer acceptance for these products shows strong data center growth for the company and our deployments are exceeding recent industry analysts' projections. The E4G Cell Site Router family has also been positively received by mobility customers and associated channels in its first quarter of general availability. We expect E4G products to be sold mainly through our established OEM sales model and similar to past mobility products from Extreme. We also expect the E4G to be embedded as a part of a much larger mobility solution offered by our network equipment partners. As a result, we expect sales cycles for the E4G to be longer and less predictable and will include extended time for initial testing and acceptance by these channels before our products can be selected and demonstrated -- and demonstrate subsequent market traction and revenue. We have already been selected as a part of the reference architectures offered by key vendors in this space, including Cambium and Equinix. These NEPs are actively including our products in their bids for back haul opportunities across key mobility areas such as private LTE customers, multi-tenant cell site tower-sharing customers and government public safety customers. The Summit X440 intelligent edge is our next generation 1-gig and 10-gig campus product. We announced -- since we announced the general availability of this product family in Q3, we've experienced very strong user acceptance and significant demand for education and other campus deployments. The Summit X440 product family consists of 10 different models refreshing the majority of our non-data center stackable portfolio and enabling more competitive price flexibility and opportunity for margin improvement. In combination with ExtremeXOS automation and identity management and with the integrated data plane features of our wireless LAN portfolio, the Summit X440 product family offers the quality of user experience required by campus customers who are dealing with the impact of users bringing their own devices to work and to school. Beyond delivering what we believe is a best-of-breed product portfolio for mobility and cloud customers, Extreme continues to grow in visibility amongst our current and potential customer base. In February, Morgan Stanley issued their periodic CIO survey showing Extreme increasing in awareness as an alternative to Cisco and citing an expected increase in ethernet switching spend versus the previous survey. In April, Goldman Sachs -- in a new Goldman Sachs survey, reiterating the comments of their previous report, said that Extreme continues to be increasingly considered by U.S. CIOs as a top 4 vendor when purchasing equipment from someone other than Cisco. Both of these reports help demonstrate the effects of our focused marketing activities along with the recent public recognition of our new products and are helping to drive increased market awareness. After the end of the quarter and complementing the accolades we've received for our cloud offerings, we again received recognition by Info-Tech Research, a well-known analyst firm for our campus offerings. In their new campus report, Info-Tech identified Extreme as an innovator based on product and vendor capabilities and placed Extreme higher in product capability than several other leading networking brands. According to Info-Tech -- the Info-Tech Research report dated April 2012, our products are described as being ideal for demanding networks, but also have the ease of deployment and provisioning necessary. Turning now to our execution in our key vertical markets. We continue to win customers in the areas of cloud, mobility, education and campus verticals. In the quarter, we won Cloud4Y, a managed services provider in Russia, which is deploying our data center products for cloud-based services. In addition to the data center wins, we already mentioned when discussing the BDX8, other key data centers wins included AMD in North America who has deployed our gear for high-performance 10-gig and 40-gig infrastructure, and CEB CIA Energetica De Brazil who is also using our switching and wireless LAN in support of their network modernization overall. In Korea, we also sold to SK planet's data center, which is the SK Telecom affiliate for content delivery, as well as Smart Communications in the Philippines for their mobile packet network. And finally, at Korea Telecom, which again selected Extreme for its networks, we deployed products in support of their nationwide LTE deployment. New education deployments included Las Vegas City Schools in the United States, a leading university in Germany, the Rossall School in the U.K. and the Bay of Plenty Polytechnic in New Zealand. We also continue to drive competitive wins against strong incumbents in new enterprise campus deployments including both the Russian Ministry of Regional Development, the Russian Ministry of Interior and a major Romanian government entity and also Mainland Water [ph] in Taiwan, and of course, the [indiscernible] Chest Diseases Hospital in Kuwait, which also combined campus course switching, wireless LAN and data center all in one win. Beyond the traditional campus deployments, we are also building traction with physical security in the infrastructure space, a market that demands high reliability and leverages the sophistication of Extreme's XOS. Notable wins here included the Massachusetts Department of Transportation with a shared public fiberoptic infrastructure that leverages our X670 10 gig and EAPS technology, as well as the Bureau of High Speed Rail in Taiwan and several other global transportation wins. As I've already mentioned, we are focused on driving sales execution needed to enable us to deliver revenue growth in FY '13. As such, we are adding new sales leadership in key areas to refocus our market attack. With Extreme's increased awareness and award-winning product portfolio, we expect to attract experienced leaders with high-quality skills to help drive revenue growth at Extreme. I'm pleased to announce that 2 highly qualified individuals have joined Extreme. One in the key position of VP for worldwide channels, and the other as our new VP of sales for Asia. In addition, we have also hired a very talented new country sales manager for India. We are also actively recruiting for the new head of worldwide sales and believe we will be able to attract a strong leader in this position. Beyond these leadership positions, we are also adding resources who are experienced and skilled in data center sales in which we expect will accelerate our growth in data center revenue in FY '13. In summary, Extreme has now released new award-winning products with features that address our targeted vertical markets in the highest growth market verticals. We are continuing to build the customer awareness needed to enable our increased participation in customer deals for these key vertical markets. We have completed the cost structure changes we believe are necessary to achieve operating income without revenue growth as evidenced by our profitability in Q3. We are now focused on transforming our sales capability to deliver revenue growth, which we expect, assuming the execution of our current plans, can provide increasing leverage to the bottom line and increasing free cash flow in FY '13. I look forward to keeping you updated on our progress over the next several quarters. Now I'll turn the call back over to Jim to discuss guidance for Q4 in FY '12. Jim?
James T. Judson: Thank you, Oscar. There is no change to the guidance previously issued as part of our earlier announcement. We estimate that our Q4 FY '12 revenue will be in the range of $82 million to $90 million, and fiscal year 2012 revenue will be in the range of $317 million to $325 million. We also estimate that non-GAAP EPS for Q4 will be in the range of $0.07 to $0.11 per share and fiscal year 2012 non-GAAP EPS will be in the range of $0.22 to $0.26 per diluted share. We will now open the call for questions. Patrick, you can start the polling.
Operator: [Operator Instructions] Our first question comes from Christian Schwab from Craig-Hallum Capital.
Christian D. Schwab - Craig-Hallum Capital Group LLC, Research Division: As we look -- now that you've had a little bit more time, Oscar, than when we spoke a few weeks ago, can you guys -- can you just walk us through your conviction level in the $82 million to $90 million guidance, how you got there, how you scrub through it, et cetera. If there's any more clarity you can add there, that'd be great.
Juan Oscar Rodriguez: Sure, Chris, and I'd be happy to. So one of the key things that I've done in order to get comfort on the guidance for Q4 is sit down with all those sales leaders and get down to the sales -- the individual subregional level as well because these regional leaders have subregions underneath them to really understand whether -- where their expectations are in terms of the actual deals that are on the table, size of the deal, diversity of the deal. Some of our business is statistical, so I'd like to understand the run rate of what we think. And a lot of what I use, as I look at our developing pipelines, and I can see that their pipelines have been growing really over the course of the last few months, and it's a question of closing those deals. So when I look at the pipeline and the sales cycles that are already entered around some of these larger deals and look at the timing associated with that, I now have a much better view of where the sales team -- what the sales team can do. I've also implemented a new deal desk process, which is a much more rigorous process that enables all the functions to understand what sales needs in order to close deals, so we can make sure that we don't delay when actions need to be taken. So that's given me a much better view of not only the pipeline that's out there, what they're working on, but what are the actions we need to take to make sure the deals are closed and they're closed on time. And as we go along, my expectation is that we will have a much better view of what's materializing and what's not materializing, so we can take action on the things that will and make sure that we understand the things that won't.
Christian D. Schwab - Craig-Hallum Capital Group LLC, Research Division: And I would assume after the Q3 results that we went into that with some measure of pessimism, is that accurate?
Juan Oscar Rodriguez: Yes. I think that you could say that. I think that in my position, I'm -- I believe in trust, but verify. And so, in addition to listening to what the folks have to say, I also am verifying that the things that they're saying really make sense from multiple angles including supply chain and all the things that are connected to closing a deal.
Christian D. Schwab - Craig-Hallum Capital Group LLC, Research Division: Fabulous. As we look to next year, given [indiscernible] growth in 10G, possible accelerated growth in the switch market and the aggregate itself, greater adoption of the BDX8 product, in particular, would you expect your business to have typical seasonality or modestly better than typical seasonality as you look out to the next fiscal year?
Juan Oscar Rodriguez: Right, so that's a great question because one of the things that we did mention on the prior call and the call 2 weeks ago is that we had expected we would be able to break some of that seasonality in Q3 and it didn't come through, right? So not being one to overcommit, right, but also not being one to believe that the past is an indicator of the future, or I wouldn't be here, right, my expectation is that we're going to begin to see growth in 10 gig and 40 gig and you can see some of the numbers that we shared with you today about 10 gig and 40 gig growth. We're very pleased that we're -- and seem to be outpacing with some of the reports have set out there in terms of the growth of those technologies. Of course, actual market share will be measured in the past. It will be measured in the future as opposed to forecast, right, so I think we need to see how everybody else did. But I'm pleased with the momentum of 10 gig and 40 gig and that's really what we're talking about when we're talking about the BDX8 and the X670 and really all the open family -- excuse me, open fabric family of products. So as I look at that architecture, the open fabric architecture, and the things that we're doing in there and really, indeed, some of the new things that we expect to materialize as new servers come online and the need for 10 gig to grow, I'm expecting that we're going to see some growth there. But I'm not ready to say we're going to break seasonality.
Christian D. Schwab - Craig-Hallum Capital Group LLC, Research Division: And then can you -- Jim, can you just remind us, so we're all on the same page, what typical seasonality would represent for you?
James T. Judson: So for Q3 as we talked about in the last the conversation, it's averaged about 11% down in Q3, as much as 15%. Q4 tends to be the strongest quarter and is well within the ranges what we're talking about here in terms of the guidance that we've given.
Christian D. Schwab - Craig-Hallum Capital Group LLC, Research Division: And then Q1 and Q2? That's fine.
James T. Judson: And Q1 tends to be a little bit softer. You get the summertime in Europe and summertime in the U.S. And then Q2 tends to be just the calendar year end, is the fiscal year end for a lot of companies, so there's a lot of sort of budget slashes that go on in the capital equipment space in the December quarter. So it's a pretty typical pattern, not just with Extreme but with a lot of high-tech capital equipment companies.
Christian D. Schwab - Craig-Hallum Capital Group LLC, Research Division: That's great. And then a couple more questions, if I may. Are you ready to break out exactly how much revenue you're doing in 10 and 40 gig yet?
James T. Judson: Not right yet.
Christian D. Schwab - Craig-Hallum Capital Group LLC, Research Division: And then lastly, the last question is in the process of shareholder value, have you thought about now that we've got -- we've proven that we fixed the model in essence of the operating cost in the infrastructure space, to create profits at kind of levels where before you lost a lot of money. Have you guys thought about using your significant cash balance to do a meaningful stock buyback, or is that something the board is not thinking about at this time?
Juan Oscar Rodriguez: No, I wouldn't say that's not something that the board is not considering. I think the board considers this and we've heard our investors, over the course of the last few quarters, make commentary to this and even in direct conversations with investors as well. I would not take it completely off the table. We've made no decision on this.
Christian D. Schwab - Craig-Hallum Capital Group LLC, Research Division: Okay. And then sorry, I just thought one other. You got $1 million in payment for the building. It looks like this quarter we're still looking to get the majority of the rest of the funds by the end of the calendar year, is that correct?
James T. Judson: The earliest to a close would be the December time frame, and we're expecting that -- I think it's the 3 months options that they have to delay up to 6 months, so it's within that December to June window that it would close.
Operator: Our next question comes from Rohit Chopra from Wedbush.
Rohit N. Chopra - Wedbush Securities Inc., Research Division: I just want to get a sense of what you're doing now that you're sort of trying to be a little bit more involved in the sales, what you're doing is as far as quotas or quotas being changed for some of the salespeople. Are there some increased promotions to make sure that you get in on the deal? Maybe you can just tell us what specific changes you've made to the sales force?
Juan Oscar Rodriguez: Sure. So I'm not a believer in changing quotas. We're almost to the end of our fiscal year, so we're going to ride our quotas out. I don't think that's in the cards right now. Certainly setting appropriate quotas for FY '13, I think, is part of what my processes right now. I want to see quotas that reflect the growth that we're expecting out of the company. I think this would be something everyone would expect. So no surprise there. Regarding specific promotions, we have been running some promotions. We've been running bundled promotions, things of that nature, wireless LAN with campus edge for example, bundling our PoE switches, especially our new PoE switches with the high-performance wireless LAN pieces that we have. And we actually -- we ran some of those in March and we saw some good traction. So with our new channel VP on board now, she has a lot of experience with channels as you can -- if you've read the press release on her, you can see where she comes from and her background is very deep in data communications and the channels associated with that. So I'm expecting that promotion should be a normal part of what a company like us does in order to introduce new products or in order to make sure that we introduce new channels to our mix. So I see promotions as a more normal thing, maybe not for Extreme in the past, but certainly a normal thing going forward.
Rohit N. Chopra - Wedbush Securities Inc., Research Division: So nothing unusual. And then I wanted to ask Jim, if you can give us a sense of what you're thinking for fiscal '13? Gross margins seems to have stabilized somewhere in the mid-50s. Should we expect any change there? And can you actually get to double-digit OEMs maybe by the end of next year, is that a fair target?
James T. Judson: Yes, so within gross margins, and we talked about this actually in Q2, we think that we're in very good shape in terms of achieving the financial model that we've put out there and our target model to get to double-digit operating income. The gross margin, as we pointed out in our comments, actually crept up a little bit this quarter even on the lower revenue. So yes, we think it's pointed in the right direction and that we can get in that targeted range of 57% to 59% gross margins. And yes, the goal is double-digit operating income without a significant revenue growth. It's the same thing we've been shooting for all long and we think we're pointed in the right direction.
Rohit N. Chopra - Wedbush Securities Inc., Research Division: Okay. Lastly, I thought maybe you could just elaborate on some of the partnerships because I assume some of these deals are not always direct, right? Some of these are coming from like Ericsson and Motorola, I think you have an alliance there, Nokia, Siemens. But maybe you can just elaborate on the growth of the partnership channel and maybe how you're getting into some of these deals and where we are.
Juan Oscar Rodriguez: Okay, let me take that. So when it comes to the E4G product line, absolutely we're -- as I said in my earlier statements, we're expecting the E4G to be primarily sold in an OEM-like fashion, if I could say that way. Some of them will be resales, but they'll be part in the carrying the Extreme brand. And when you carry the Extreme brand, it's Extreme branded product, but it's going in as a part of an overall larger solution, either from mobility or public safety or one of those types of verticals. But whether it's mobility, sitting back haul products that are sitting behind a mobility network, a 3G, 4G LTE network or whether it's sitting behind a microwave infrastructure network that may be a part of mobility infrastructure or public safety infrastructure, either way we're expecting those products to be included as part of a larger solution set and so there's going to be an acceptance criteria for it, lots of testing in the labs so that the partner can be assured that everything works the way they expect the overall solution. I think that's very normal. It's the way we have been conducting a lot of our OEM-type sales. And those of you that know us well, you know that Ericsson has been a 10% customer, Motorola is in there, lots of different of those NEPs are in there, so it's roughly had been about 15% of our business for the mobile backbone piece, if I could say it that way and some of the other OEMs. And I think that we're expecting that to grow, but it's going to be a lumpier sale cycle than normal than other products, I could say, because of the acceptance process and then eventually it will take off and be included in our solution. So I think that, that's going to -- what I'm trying is to do is make sure that investors understand that, that's got a longer tail to the sales cycle, but I think it's still a very viable product, serving a very large market. I want to make sure that, that's well understood. When it comes to other channels, right, so our other channels are -- we're recruiting channels in data center. We're recruiting channels when it comes to coverages as well for geographic coverage, so we continue to drive new channels in our business and we continue to strive to make sure our channels get the best capability possible in terms of flexibility as well as ease of doing business in the industry. And indeed, I just met with our partner advisory council in North America and the feedback that I've gotten is that, by and large, they're very pleased with the way Extreme does business with them and it's a question of doing more business with them.
Operator: Our next question comes from Jonathan Kees from Capstone Investments.
Jonathan Kees - Capstone Investments, Research Division: Great. Just want to start with a couple of housekeeping questions, if I may. One, my apologies if you -- if I missed this from earlier. What's the segmentation for the verticals, the 3 verticals? The amount?
Juan Oscar Rodriguez: Go ahead, Jim.
James T. Judson: I believe the rolling fourth quarter was 27%, Jonathan. I think that's reported in the script.
Jonathan Kees - Capstone Investments, Research Division: Okay, all right. And then 10% customers for the quarter?
James T. Judson: I don't know off the top of my head if Ericsson was one this quarter or not. It would have been the only direct one. What might have been -- yes, those all would have been resellers or distributors.
Jonathan Kees - Capstone Investments, Research Division: Okay, all right. Let me move on to more general questions here. You're bringing some people, looks like they're joining the team right way. You got Asia Pacific sales head, you got -- some are from India. I would think that they're going to hit the ground running. Just an update in terms of when you think the metrics for Asia Pacific will start turning around now that you've got some people on board?
Juan Oscar Rodriguez: Yes, it's a good question. Look, we're -- I'm very pleased with the hires in Asia Pacific. Our new head of Asia Pacific is former Cisco and IronPort. So IronPort, you might remember, was acquired by Cisco and I think that he brings the right mix of understanding how to deal with end customers, especially large end customers at the data center level and at the enterprise level. And also at the same time, understanding how to work in a company of our size, so I think that's really important. One of the things I'm trying to look very carefully is making sure that whenever we hire people from the industry, that if you've sold with a brand that easy to carry into an account, it's a different kind of sale than if you're selling with a brand that's trying to break into an account. And I think that I look for people that are good hunters, good salespeople. And I think he certainly brings that. Our head of India that we just brought on board. He is also former Cisco emerging markets type of person and so he understands how to hunt and he's located in the right place in India as well. So I think that puts us in a good position with those folks. Now when they come on board, these folks are very experienced. They can hit the ground running, but they also have take a look at their teams and make sure that their teams are in good shape because these are leaders and so they work through people and they need to make sure that they're executing well. So given that, my expectation is that we're going to see what -- I'm holding our forecast there internally for Asia for Q4, but I'm expecting to see good growth from these folks coming into FY '13. And that's why retooling them quickly, but making sure that we're hiring exactly the right people we need was an important task for us in the last few weeks. And that's why we sat down -- our sights on that task. The other person that we brought on board is a global channel person and she is very experienced with background coming from other competitors way back when in terms of Baynetworks and Nortel Networks, did an awesome job in those places and also at CNS [ph]. So she brings deep relationships around the world and also deep knowledge of how to do business and how to structure a consistency of channels around the world. And that's one of the things that I look for, for her to accomplish because Extreme has had various types of programs around the world, North America being different than Europe and different in Asia, and I'm looking for her to bring some consistency to the way we deal with channels around the world. So I think that these are strong individuals. We've taken our time to hire the right people, but they're going to need their time to get on the ground and get things moving.
Jonathan Kees - Capstone Investments, Research Division: Okay, all right. Fair enough. And that makes sense. So it sounds most of the impact -- they will start making a material impact is fiscal '13. Let me turn around and ask you about EMEA. So you're reorganizing Asia Pacific. You've already reorganized the U.S. You've reorganized Latin America. EMEA is the only region that you haven't really touched from what I recall. And I know Europe is more a macro issue and you got differences between north -- Northern Europe and Southern Europe, but I guess I'm just curious in terms of how you're approaching that or you're just taking a wait-and-see approach in terms of how the macro issues are developing there? Or have you initiated anything similar to what you've done with the other regions in anticipation in terms of any softness there? I mean, there are a lot of companies who are reporting softness in Europe, but they're also some companies who are reporting strength in Europe despite the macro issues. So just give us what you're doing there.
Juan Oscar Rodriguez: Yes, okay, good question. So I'm not a wait-and-see kind of guy and I'm not in wait-and-see mode, right? I have to take in account that Europe is our largest region. Did have a good last year and so their performance last year was given. So this year, they're facing a few issues, but they are facing, in pockets, some sales execution issues that we'll deal with directly and so I'm expecting to make some changes where necessary especially with their low performers. And by the way, what I would say is low performers across the company in sales. Those were issues that we have to deal with, but also make sure that the high performers are focused on ensuring that they deliver again for FY '13. So we don't have -- we have a sales team that, by and large, is a very good sales team. We have pockets of places that we have go fix a few things. And in Asia specifically, we have to bring some new leadership in place and with -- in the case of channels, we needed to have consistency around the world and I think that, that will drive the business overall and that will float the tide, which will enable everyone to rise as well. So I think we're doing things and taking quick action on the things that need to get done. Of course, I still have the VP of worldwide sales position that's open and I'm looking for the right leader with the right capabilities in terms of being able to get in front of the customers and be able to pull demand through our channels. We honor our channels very much and we think our channels have taken us to market in an excellent way, but we also want to make sure that the customer solidifies for the channel the choice they want, and that way we have an opportunity to influence directly the customer and the choices that they make in terms of cloud infrastructure, mobility infrastructure and so on. So we'll work -- we want to be able to work with our channels, work directly with the customer and have our channels fulfill and win more business with us.
Jonathan Kees - Capstone Investments, Research Division: Okay, great. Makes sense there, too. Can you update us in terms of anymore clarity on mobility macro issues. As you recall, that is one of the reasons listed for that miss a couple of weeks ago. And obviously, that's not the majority of -- that wasn't the response of the majority of it, but is mobility still kind of challenged or are any further information on that?
Juan Oscar Rodriguez: Yes, so let me say this, right? Mobility, the way we participate in mobility is the way a chip vendor participates in the rest of our business, right, is we're a component that goes into a larger mobility solution. As a result of that, things come to us in terms of projects or they come to us in terms of burst [ph] write of orders and things of that nature. We try to do a forecast and the forecast is always based on what we're told by some of our mobility partners, right? So based on that, what we've seen is we saw a bit of a small slowdown in Q2, our Q2 being the end of the calendar year. That progressed into Q3 and then towards the end of Q3, it started to get a little better and we're starting to see -- get a little better in Q4. Again, I don't have ultimate visibility into the CapEx of the end service provider, but I can tell you what I see in terms of the orders flowing our way and the pipeline that we're seeing.
Jonathan Kees - Capstone Investments, Research Division: Okay, all right. That sounds encouraging. Lastly, a couple of updates in terms of the sale cycle. I mean we talked a couple weeks ago when we had this call, you talked about the sales cycle was longer than expected and you're still just trying to get your hands around it with the closure of the quarter. Have you guys got your hands around it? Do you have a good idea in terms of the sales cycle, especially with the new products?
Juan Oscar Rodriguez: Yes. I think we're still -- I'm still looking at the sales cycle for cloud operators and those types of more complex system -- more complex system sales probably in the 6- to 9-month range. My opinion has not changed there and I think that it's bearing out in what I see in our sales teams and what they're going through. A lot of them are RFP based, a lot of them are RFI first and then RFP, and so that had the tendency -- there's a tendency there to add some time to the cycle. At the same time, one of the things that we've been able to do is get into RFPs that are sort of, if I would say, intercepting, right? So things that have already been running, that we may not have been able to respond to before our products were GA, but we can respond to now. So there are some that are shorter in cycles, some longer in cycle. But in essence, I'm still holding to the 6- to 9-month cloud data center sale cycle.
Operator: [Operator Instructions] Our next question comes from Jeff Meyers from Cobia Capital.
Jeffrey Meyers: So I guess that with the amount of deals that slipped as of last quarter, could you just give an update on any deals that might have closed already and how this quarter looks in terms of, I guess, maybe front end loading versus your typical quarter?
Juan Oscar Rodriguez: Yes, so let me compare it to the last quarter and it'll -- on whole, our April is a much better April than we have in January, right, in terms of actual bookings in the door. So I'm pleased with seeing that. Comparing it to year ago quarter, I don't have those figures in front of me, so I don't want to venture a guess there. But I'm pleased with what I see so far in terms of the momentum and the deals that -- in other words, the deals that should have closed at the end of the quarter, I'm beginning to see those begin to close and booked, so that seems to be okay. And I'm also seeing some other momentum as well.
Operator: [Operator Instructions] We have a question from Christian Schwab from Craig-Hallum Capital.
Christian D. Schwab - Craig-Hallum Capital Group LLC, Research Division: Great. I just had to slip in here, quick, last. Just a follow up on that question. Given the strong start of the quarter, do you expect -- is it strong enough to change what you believe what is historical intra-quarter linearity?
Juan Oscar Rodriguez: I wouldn't be able to comment on that. I think it's too early to draw a conclusion on that.
Christian D. Schwab - Craig-Hallum Capital Group LLC, Research Division: Okay, great. But strong start -- I guess, the strong start -- following up on the previous question. The strong start, does that increase your conviction and your work on expectations for the June quarter I guess?
Juan Oscar Rodriguez: It really -- at this point, my conviction is the same as it was before. And it's good to have good indicators that we think we can do are looking positive.
Operator: This ends our Q&A session. I will turn it back to Jim Judson for closing remarks.
James T. Judson: Thank you, Patrick. Thanks, everybody, for participating in the call, and look forward to talking to you again at the end of next quarter. Thank you.
Operator: Ladies and gentlemen, thanks for participating in today's program. This concludes the program. You may all disconnect.